Presentation:
Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2008 Jacobs Earning Conference Call. My name is Maria, and I will be your audio coordinator for today. At this time, all participants are in a listen-only mode and we will be facilitating a question-and-answer session towards the end of today’s conference. [Operator Instructions]. At this time, I would now like to turn the presentation over to Ms. Patty Bruner to read the Safe Harbor statement. Please proceed.
Patty Bruner - Investor Relations: Thank you, Maria. The Company requests that we point out that any statements that the Company makes today that are not based on historical fact are forward-looking statements. Although, such statements are based on management's current estimates and expectations, and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause the results of the Company to differ materially from what maybe inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences, the Company requests that you read its most recent annual report Form 10-K for the period ending September 30, 2007 including item 1-A, risk factors, item 3, legal proceedings, and item 7, management discussion and analysis of financial conditions and results of operations contained therein. For a description of our business, legal proceedings and other information that describes the risk factors that could cause actual result to differ from such forward-looking statements. The Company undertakes no obligation to release publicly any revisions or updates to forward-looking statements whether as a result of new information, future events, or otherwise. Now, I will turn the call over to John Prosser, CFO of Jacobs.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Thank you, Patty. Good morning. I will briefly go over the financial highlights for the quarter and then I will turn it over to Craig Martin, our CEO, to go through discussion of the… our growth strategies and our current business outlook. If you are following on the slides, I am on slide four of the presentation package. Clearly, we had a very good quarter, with the results before the one-time gain of $0.75 per share and net earnings of 93%... $93 million for the quarter. If you add back in the one-time gain, the results were $0.79 per share and $98.4 million. So, either before or after, it was clearly a very good quarter. The one-time gain just… we will touch on it briefly resulted from the sale of… our interest in the business that was a very transactional highway maintenance and operation business that really did not fit our business model. It’s one that came to us through the… through an acquisition a number of years ago, and it just was an opportune time to dispose off that. Our backlog reached the record $15 billion, so a very strong growth continues in our backlog. We have a strong balance sheet. Net cash of $361 million, and we are revising our guidance upward to a range of $2.95 to $3.25 per share including the one-time gain. So, that includes the $0.04 from the one-time gain here in the first quarter. Moving on to the next slide, slide five, just tracks our earnings over the last decade, very strong growth. If you look at the bars underneath the graph, and that graph excludes the one-time gain. Our trailing or compounded growth rate over the last five years is just under 26%, which clearly is above the 50%… 15% growth target that we like to talk about over the long-term. Moving on to slide six, our backlog growth. Again, another strong quarter, very strong growth over last year, reaching $15 million or $15 billion. Included in that $15 billion is about $390 million that came from the backlog that we have added from the acquisition of Carter & Burgess. Carter & Burgess closed early in the quarter. So, two months of operations are included in the quarter. While they were not material for the quarter, they did represent a contribution in the backlog at the end of the quarter, but even without that still had a backlog growth of over $1 billion for the quarter. With that I will turn the mike over to Craig Martin to go through our growth strategies and outlook at the markets.
Craig L. Martin - President and Chief Executive Officer: Thank you John and good morning everyone. We are going to talk a little bit… I am on slide seven at the moment, about our strategies continued to grow at 15% on a long-term basis. There is nothing really changed about our approach. We remain committed to our unique business model. We are going to continue to diversify our business. We are going to grow as a multi domestic company, so we are going to be local to our customers where we work. And we are going to continue to make acquisitions as a part of our growth strategy and obviously going to drive down the cost. I am going to spend little time on the first three things on that list. I don’t plan to spend any extra time on acquisitions or cost control in this dissuasion. So, let’s talk about our relationship base business model. I think we have talked this many times in the past and differentiate our approach to the market from what we think of the industry model. I am on slide eight now, and you can seen the industry model on the right. Generally, our industry is very transactional, its approach to businesses. So, there is lot of pursuit of lump sum turn key work. There is a lot of big events in far away places that drive for the most part our competitors business models. We take the opposite tack. We look forward the local work, the ongoing business and we develop deferred relationships with our clients that last year in and year out. We continue to get about 80% of our business from those kind of relationships, and that’s what drives our growth as a company. Frankly, in what is a very good business market, our strategy continues to work very well for us, and we are finding ourselves growing our share of our customers' wallets by growing our relationship with those customers. Moving on to slide nine. This is our market slide. You can see the business is continuing to be diverse in terms of the markets where we get work. I am going to try to take a minute or two on each one of these markets and talk about what’s going on in the marketplace, how we see things going forward. Let me start with Refining, the downstream market. Very robust, you can see, it’s about 31% of our business. It is going nicely for us. There is a tremendous volume of project that there, still a lot of work in the early conceptual stages and a very significant amount of work as we look forward. Not only we still doing cleanup of fuels and capacity expansions both here in Europe. We see a lot of work ahead for things like benzene removal from gasoline and even getting into the removal of sulfur from bunker fuel. So, there is a lot of opportunities out there and a very long tail on this business as we see it in terms of opportunity for continuing growth in continuing business. Good market to be in. Oil & Gas, the upstream business, about 11% of our business today, another really good growth opportunity. I would just happen to be up in Canada with the folks in the oil sands and they talked about programs lasting out 10 to 12 years in terms of money they are going to spend. Obviously, the oil prices, it is today makes all those projects very attractive and very economic, but they continue to be pretty economic even at lower oil prices. So, there is a lot to be excited about in that business. If you look at just the oil sands alone, globally, it’s still a very large business and we are still very small share player. So, it’s also a share growth opportunity for us. Chemical’s business about 14%, continues to be a good business for us. We are seeing a lot of activity, most of it in the Middle East. And we are positioning ourselves to take advantage of FPL [ph] and PMC work in the Middle East on a number of projects. We are already doing some of that kind of work. And then we continue to see modest little expansions and additions in Europe, in Asia, and in the U.S. Pulp and paper high tech prudent consumer products 3% of the business, that’s the part of the business. There is not much story around, not a lot of growth right now, although, we continue to define ways to add to our business now and then. On the PharmaBio side, the business is steady. We don’t see it growing as rapidly as some of these other businesses, but there is a steady volume of work, particularly in places like Singapore and Ireland, where we are well positioned. We also see some activity in Mainland Europe and in the U.S., but not as robust as what we have seen in Ireland and in the Asian Singapore business. National Government, 18% of our business, another area where we are seeing lots of activity. I will talk about a couple of major project wins later on, but there is just a tremendous activity in both research and develop test engineering side of that business and in the environmental side, and we continue to see lot’s of activity. We are working in the United Kingdom. We have talked about many times before. It continues to be out there. It’s moving a little slower than we expected it to originally in terms of awards, but that $150 billion of spend is still out there to be had and we are pretty excited about what that market represents. And then like I said the research and development side, we are doing extremely well in terms of growing our business, lot of good programs out there, both in the U.S. and in the U.K. Our Buildings business, 6%, also very strong for us, particularly strong in government buildings. By that I mean things like healthcare, hospitals, schools, jails. Healthcare in particular is a very, very active market for us and we are very well positioned around the globe. We continue to see a lot of growth over in Mainland Europe, in the U.K., and in the U.S. And then last of all, the Infrastructure, another good strong business as we see it today. Obviously, there is some issues out there with the tax situation and deficits in some of the states. But for the most part, it’s still a very robust market for us, and we expect to see continued growth, both from the standpoint of just project growth, but also in our ability to take share from our competition. So, we are pretty excited about that market as well. Turning now to slide 10, our Multidomestic strategy. As you can see we continue to grow the business geographically and we continue to focus on being local to our clients. The strategy here is to have a local operation that understands how work gets done in that area and couple that with global expertise in the project type. And so far for us that seems to be working very well. We have developed a number of strong relationships in various countries around the globe that is helping us to build our business and increase our share of our customers’ wallet. Moving on, slide 11. Just want to touch on a few highlights from the quarter. John has mentioned the acquisition of Carter & Burgess. This is a combination of infrastructure and buildings businesses here in the U.S., really good fit with Jacobs, both geographically and strategically. So, we are pretty excited about that and what we think will do for us in the long run. Obviously, we are still are interested in the transactional based highway operations company, just wasn’t a great fit, snow removal, and pavement maintenance in… on our long-term hard money basis just isn’t for us. We did have a couple of really nice win last quarter that I thought were worth highlighting. The Air Force Engineering and Technology Acquisition Support Services, ETASS, up in Boston, really good contract on the IT and communications command, C4ISR kind of work. And then we want to re-compete of our test and evaluation support contract at Aberdeen, another really good contract that represents another long-term relationship for us. I think the interesting thing about these two projects and several others like them, but we can’t talk about, is the long-term nature of the business and the fact that they represent good diversification for us. So, we continue to being utterly dependent on anyone market. So, all in all we’ll turn now to the commercial on page 12. We think there’s a lot of reasons to think highly of Jacobs right now. We've got a good customer driven basis model. It’s very much different than our competition. We have the diversification that helps provide steady growth. Our balance sheet is in great shape, and we continue to believe we can grow this business at 15% forevermore. And with that I will turn it over to Maria for questions. Question and Answer
Operator: [Operator Instructions]. Your first question comes from the line of Michael Dudas with Bear Stearns. Please proceed.
Michael Dudas - Bear Stearns: Good morning, gentlemen.
Craig L. Martin - President and Chief Executive Officer: Good morning Mike.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Hi, Mike.
Michael Dudas - Bear Stearns: First question. Craig, a little more color on your recent trip to Canada. Certainly, cost issues, concern about crude oil prices and potential tax issues in the province, potential consolidation that occurred up there. How well positioned are generally contractors up there and you in particular to… maybe whether or maybe some of those issues if those things come about?
Craig L. Martin - President and Chief Executive Officer: Well, I think what we heard from most of the customers I talked to and I probably visited five of our major customers up there in the two or three days I was there. What I heard from most of those customers were two or three things. One, their investment plans are pretty firm for the long-term and that they are long-term looks at where the business is going. So, they are pretty insensitive to relatively minor variations in crude prices. I didn’t talk to anybody who thought there was any risk to any of their project work at crude prices above $60. The second area, we talked a lot about what the new royalty program might mean to these customers. And frankly for the oil sands, I don’t think it has much impact. There’s a lot of whining about it, but very little evidence that that actually changes the economics of these projects significantly relative to current crude prices. There was a lot of complaining about what it does to gas. And there are some reasons to think that the gas side of the business up there will be affected negatively by the royalties. But that didn’t seem to be the biggest of big issues. The biggest thing the customers talked about was the supply of… not so much supply of engineering, but supply of construction labor and equipment materials to those sites, because of the volume of works going on. And all of them have constructed plans to deal with that for the most part, frankly, by extending the duration of their programs. So, instead of trying to do $4 billion program all at once, they are doing ten $400 million programs. And that seems to be a common approach to how these folks are dealing with those issues which from my perspective… our perspective, I think it’s very, very positive.
Michael Dudas - Bear Stearns: Do you find that other customers are thinking along the same lines in different end-markets?
Craig L. Martin - President and Chief Executive Officer: I’m not sure I understand your question.
Michael Dudas - Bear Stearns: Well, just looking at like… again with the attraction of the labor and contracting time and such, do you think like… we are in the refining side, or maybe even of doing the infrastructure side… are the customers looking… trying to see through the… maybe some of the near-term blips that while reading the balance paper, seeing it on TV, looking a bit longer term and feeling that they are going to need to be involved and continue their spending plans?
Craig L. Martin - President and Chief Executive Officer: I would say that the private sector companies for the most part are taking that perspective. So, whether it’s refining, upstream, chemicals, there tends to be a little bit of a longer view here and the belief that these programs are got to get done, feed stock driven or otherwise. When you look at the buildings and infrastructure business, they are not looking at this quite as long-term. I think they are, in fact, a little more short-term oriented in their outlook. But I think also, there is a lot of… just a huge backlog of need out there and an awful lot of it is being driven by secured funding. By that I mean things like bond issues that have been underwritten by sales taxes, other kinds of commitments, you hear a lot about California. We have this big infrastructure issue in California. It is actually independent of the problem and the money that causes that $14 billion deficit. So, those programs are going to go forward. And we are seeing that to some extent in lobby infrastructure business around the globe. On the building side, as I said, we are mostly driven by things like healthcare and the needs there don’t seem to be affecting the businesses, the money’s there and the need is there and so the work is getting done.
Michael Dudas - Bear Stearns: Craig, I appreciate your thoughts. Thanks.
Operator: Your next question comes from the line of Andy Kaplowitz with Lehman Brothers. Please proceed.
Andrew Kaplowitz - Lehman Brothers: Good morning guys. Nice quarter.
Craig L. Martin - President and Chief Executive Officer: Good morning. Thanks.
Andrew Kaplowitz - Lehman Brothers: So, looking at your margins, your gross margins in 1Q ’08 were very strong. Your SG&A as a percent of sales a little higher. And I guess a couple of things come to mind. One is, how much of the gross margin strength was a result of maybe mix or better pricing or maybe even Carter & Burgess coming in to the mix? And how much of SG&A, sort of picking up a little bit was that you just did a… now, it’s not a small acquisition, certainly not a big one, but it’s certainly a little larger than usual?
Craig L. Martin - President and Chief Executive Officer: Well, I mean, the mix in this quarter was very similar to the mix last quarter. As far as the mix is concerned both Carter Burgess coming in is all professional services, the amount they contributed particularly since they are only in for a couple of months was not a significant amount, it was somewhere around $80 million. So, that may have had a little bit of an impact on the gross margins but it did have a bigger impact on the G&As because… and not so much from their own G&As which they tend to be higher than ours anyway, but also because of the purchase price allocation and such. So, early on for the first 12 to 18 months, we don’t expect them to be on an operating margin basis much of a contributor, because of the purchase price allocation, the amortization and the intangibles that have to be worked off in that. So, they had a little bit of impact but it would only… it would be measured in the… probably the last two digits, not in the… it didn’t make a big impact, one way or the other.
Andrew Kaplowitz - Lehman Brothers: That’s great John. I guess what I am trying to figure out is that 15.7% seems very nice. Is it sustainable based on better pricing… a better pricing environment, I mean I know you mentioned in the past that as you ramp up a little bit in field services, you might have a little bit of pressure there but it would beat my forecast by a wide margin?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, as I have said, we are going to be looking at probably margins, drifting down a little bit as the revenues growing as we move more and more into the field services, but that’s going to be later this year and then to 2009. I guess this is the first quarter, I have been fairly correct in saying that we are reaching a kind of a peak in our operating margins. I have been saying that for prior last four or five quarters that we have been reaching it and this year, my comments from last quarter actually came true, so maybe I am finally getting smarter or something, but no I think that this makes a lot of it sustainable, but as we move the mix more toward field services later this year into 2009, you will see the volumes increasing even faster but you will see the gross margins coming down, the SG&A percentages of… as a percent of revenue coming down and you will probably see a little bit of softening in the operating margins.
Andrew Kaplowitz - Lehman Brothers: I guess, John it is fair to say that in 12 to 18 months, when C and B is sort of integrated, you have less amortization of intangibles and what have you, that we can get better SG&A as a percent of margin while still having a relatively high gross profit margin, I guess that’s what I am getting at.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, there’s not going to be that big of an impact one way or the other. I mean, they aren’t big enough to prop that percentage up and I think the factors of moving towards field services will be a much stronger factor than their contributions. So, obviously as the amortization which will be running probably about $1.5 million a quarter, runs off in 18 months and steps down a little bit. That’s a little bit of a contribution, but that compared to our overall size is still valid material amount.
Andrew Kaplowitz - Lehman Brothers: I understand. Just one more question, on backlog growth for the quarter, that also came in very strong. I know you mentioned a couple of projects, Craig. Anything besides those projects that sort of contributed to it, I mean that’s a very strong number, ex-Carter and Burgess.
Craig L. Martin - President and Chief Executive Officer: No, there’s not really anything that I can really point to in terms of individual event that was just a huge effect on backlog. Obviously these two projects contributed some nice chunks of money, but we had an awful lot of wins across the whole system. It was just a very robust quarter in almost every market and so we had a nice backlog growth.
Andrew Kaplowitz - Lehman Brothers: Very nice. I’ll get back in queue.
Operator: Your next question comes from the line of Jamie Cook with Credit Suisse. Please proceed.
Jamie Cook - Credit Suisse: Hey, good morning and congratulations.
Craig L. Martin - President and Chief Executive Officer: Thank you.
Jamie Cook - Credit Suisse: John, not to be too much on the margin front and we are… I know margins will change… what the gross margins and operating margins will fluctuate depending on whether it’s technical professional services or field services, but even if you look at it on a net margin basis, you are hitting a 4% operating… net income margin which I haven’t seen in the years that I have followed you, so I guess is this a new sustainable level or was there anything unusual why we can’t have at least a 4% net income margin going forward.
Craig L. Martin - President and Chief Executive Officer: Well, I mean given our current mix of business, I think we're in that kind of a market right now as the mix changes it’s going to have an impact on it going down and as of the market, whatever that is comes back to a little bit more rational activity level. So, we are not working as much overtime we're not growing the hours as fast as we are right now. But you’ll see a little bit of coming back to a more long-term sustainability.
Jamie Cook - Credit Suisse: But on a mix issue are you talking between technical professional services and field services. Is that what you mean by mix? Because I always thought at the bottom and on the bottom line that really… there wasn’t much difference between the two maybe a change between gross and operating margin but not on the net income basis?
Craig L. Martin - President and Chief Executive Officer: Historically, we have already said there isn’t a lot of difference, but with the growth we've had in the professional services marketplace and particularly the way it’s priced of a multiplier as we grow there, you get an improvement in the margin percentages where you get the growth in the field services which are much more priced off of a percentage revenue. As the revenues go up, the margins go up, but they don't go up as a percent. So, we have got… the two have drifted apart a little bit just because of the strong market. I think over time, though, we wouldn’t anticipate that long-term that the historic patterns will change. But right now, we are just in a little bit an anomaly, and think because of the strong growth in salaries, the strong growth in demands in the amount of overtime and things like that, that we are doing. We are getting a much higher level and because of this heavy mix towards professional services where that’s over 50% of our business, all those things have kind of formed the perfect storm to get us to a… probably little bit higher than what is long-term sustainable percentages. But as we grow volume, certainly on the absolute dollars and such, should offset any bit of reduction in the percentage relationships.
Jamie Cook - Credit Suisse: All right. And then just my next question just to drill down a little bit more, I think on an earlier question you had. When I think about the infrastructure market and the highway business concerns over state and local spending drawing up, I guess is there any state in particular where you are starting to see a pullback in spending? And is there any reason to believe why this cycle might be different from the one we experienced I think in 2002 because I know when that market dropped off, I think you caught everyone by surprise. So, I am just trying to get a feel for a chance of further deterioration and if there is anything that might be different this cycle to sort of insulate a potential falloff in that business if we are going into a recession.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, I think, Jamie, if we go into recession and a lot of people we will, that we will see some falloff. I don’t think there is any doubt. And I think the falloff could be like it was in 2002. The one thing I am not sure that I can factor in today as compared to 2002 is all free sort of fixed bond money that's out there. I just can't you how many jurisdictions have a $1 billion or $500 million bond program that’s already authorized and funded. And I think that may have some impact in terms of how deep the cuts might be in infrastructure this time compared to 2002. But I couldn’t quantify that for you. So, we certainly… as we see I couldn’t quantify that for you. So we certainly as we see the tax revenues go down and we drift into some kind of recession, you’re going to see some softening in infrastructure without a doubt, but I suspect that it may not be quite as bad as 2002 because of this sort of backlog of free funded bond programs. The other aspect of that I think that we have to think about is whether or not we are going to get a tax and spend kind of a regime here. We get a lot of money put in the infrastructure as a stimulus measure and what that might do for the business overall. I guess from our perspective we are not too worried about it, we are still a small share player with lot of opportunity for growth.
Jamie Cook - Credit Suisse: Okay. Great. Thanks. I’ll get back in queue.
Craig L. Martin - President and Chief Executive Officer: Thanks.
Operator: Your next question comes from the line Steven Fisher with UBS. Please proceed.
Steven Fisher - UBS Investment Research: Good morning. In terms of the costs on a dollar basis your SG&A was up about $44 million sequentially. How much of that was acquisition related and could the $247 million you actually spent will come down in the near-term as maybe integrate Carter & Burgess
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Yes. We don’t give a lot of the details but a significant part of that increase was Carter & Burgess just their costs. The other thing has an impact on our both our margins and our gross margins and our revenues and everything is the fact that the weaker dollar gives us a little bit of growth of the same euro G&A and the same sterling G&A that we had last quarter as a little more expensive as the dollar gets a little weaker. So, you get some changes, the net basis of that isn’t all that significant. But on the individual lines, it has a little bit of an impact. So, over time we will get a little bit of synergy out of consolidation but we don’t go into these acquisitions expecting to lay off lots and lots of people. I mean what we're buying is people. So, the vast majority of the people that we buy are engineering, technical staff that are being billed out on an hourly basis and being the reason we bought the company in the first place. There will be some synergies and some savings in some of the G&A functions as we integrate them into our business with it. On the other hand as we grow, there is an awful lot of need for additional people and so, rather than seeing big cutbacks, it might just be that it’s stems having to go and hire some additional people as we move people around. But there is always a little bit of that but that’s not the reason we do acquisitions and we don’t expect great big synergy coming out of acquisition.
Steven Fisher - UBS Investment Research: Okay. So, it sounds like the bottom line the dollar number might continue to creep up from here.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: It will creep up in line with the inflation, in line with the growth as we add more people and add more space and things like that, they drag along a little bit of SG&A with them.
Steven Fisher - UBS Investment Research: Got it. And then in terms of the cutbacks essentially in state spending I guess the bond issuances aside, what type of projects do you think would likely face cutbacks. Is it highway projects, is it transit systems, water. Where do you think the first cut might be?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: My guesstimate will be that it will hit water, waste water first. And that will have, it will, there will be more impact there because the programs are hard to scale. I think you will also see some reduction in what I would characterize as curb and gutter work. So a lot of the little infrastructure work may not go forward or maybe strung out a bit. I think major programs have a long enough tale that most of those will move forward. It takes as much as 10 years to build a new highway section. And those programs tend not to be effected too much by short-term changes, in tax revenues or in the economy. So, I think you will see that bigger programs tend to continue, I think the smaller stuff and some of the water, wastewater things will perhaps turn down first.
Steven Fisher - UBS Investment Research: Okay. And then last, I know you went around the wheel of your different end markets but back in November you gave a few different group classifications to the end markets. Would you say that the conditions have changed at all since November that would warrant kind of a different characterization in any of the markets?
Craig L. Martin - President and Chief Executive Officer: No. I wouldn’t say so. If anything we are finding the markets to be surprisingly robust. Given the capacity concerns in the industry and the cost concerns and I would have thought three months later we have precisely the same way as we did in November. I think our actually, we're a little bit lumpy about most of our markets today compared to November.
Steven Fisher - UBS Investment Research: Okay. Great. Thanks a lot. Great quarter.
Operator: The next question comes from the line of Andrew Obin with Merrill Lynch. Please proceed.
Andrew Obin - Merrill Lynch: Yes. Hi. Most of my question have been answered but not to beat the dead horse here. What would you be watching, what will you be watching over the next six to 12 months to gauge the state of the infrastructure/non-residential market? And on another point, I know that you are very positive on your oil and gas sector but are we seeing cancellations related to our cost escalation because that was a concern I guess earlier in ’07?
Craig L. Martin - President and Chief Executive Officer: Let me answer the second first. We aren’t seeing cancellations related to cost issues. We continue to see sort of, what I call rethreading of some of these projects when the numbers get out around, go back through another FEL phase, change the scale of the project, eliminate some of the scope in order to get the budget into a manageable level. But in terms of just people saying, no, one is not going to do that. That hasn’t been any kind of a significant issue, I can’t think of any major cancellations I’m wandering around the room here with the rest of the guys, see if anybody can recall one and nobody saying yes. So we haven’t seen that…
Andrew Obin - Merrill Lynch: Was that surprising?
Craig L. Martin - President and Chief Executive Officer: Based on my discussions with some of our customers in the last couple of weeks, I don’t really expect to.
Andrew Obin - Merrill Lynch: Was that surprising in any way?
Craig L. Martin - President and Chief Executive Officer: What’s that?
Andrew Obin - Merrill Lynch: Was that surprising? No cancellations.
Craig L. Martin - President and Chief Executive Officer: No. I don’t think it is. Given those how good the returns are on all these projects, These guys would want to find ways to make them work and in some ways their concern is, if they don’t find ways to make them work now things won’t be better two years from now.
Andrew Obin - Merrill Lynch: Got you.
Craig L. Martin - President and Chief Executive Officer: There’s a lot of them have seen a very long tail on the business right now. I mean longer than we have seen in most recent memory. To go back to the first question, in terms of what would we be looking for in terms of a scale down or a recession driven, obviously we follow the general macro economic factors like everybody else. But frankly the thing that shows up first is a fall off in a number or quality or both of our prospects and that’s pretty much when we start seeing issues, competition tightens up, there are more bidders for individual projects and those that tend to be better indicators of what’s happening in the marketplace frankly than the macro-economic numbers are.
Andrew Obin - Merrill Lynch: I take it you are not seeing that yet, right.
Craig L. Martin - President and Chief Executive Officer: Not yet. Thanks. Quite the contrary.
Andrew Obin - Merrill Lynch: Thank you very much.
Craig L. Martin - President and Chief Executive Officer: All right.
Operator: Your next question comes from the line of Barry Bannister with Stifel Nicolaus. Please proceed.
Barry Bannister – Stifel Nicolaus and Co.: Hi, Craig, John. How are you?
Craig L. Martin - President and Chief Executive Officer: Good morning Barry.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: How about you?
Barry Bannister – Stifel Nicolaus and Co.: All right. Attributing the operating margins strength to technical, professional services seems like to me, it maybe incorrect. If I were to chart the percentage of your revenue attributable to energy and chemicals which is now over 60%, on one axis and then on the other axis, invert your margin and for that case they line up. In other words the energy, chemical refining seems to be very profitable. I mean, if it is an anomaly, it is an anomaly that has lasted for decades. There is no problem with making money in energy, chemicals. Those markets tend to spend money about once every generation so making money when the times are good seems like a logical thing. So, how much of the margin strength, do you think is PPS strength and how much is the fact that it is energy, chemicals is up?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, actually those two go hand in hand because in the energy and chemicals business, we do both professional services, we do a lot of technical, professional services and we do a lot of the construction, probably the biggest part of our direct hire, full construction has done in those markets. So, the strength in those markets, certainly have the correlation, historically to how well we have done. It’s probably not as much today as it was 10, 20 years ago because you go back 10, 20 years and that was 60%,70% even 80% of our market, where today, currently it is 40%, 50%, so I think that it is still very strong, it is still very good part of our business but what I was attributing more to the technical, professional services was that the creeping up of the operating margins, from the more traditional range of say, 4% to 5% while we are approaching about 5.7%, so, that’s really where the current strength of the market is seeing this impact, but it is not just the oil and gas, it is across all of our markets, for most of our markets.
Craig L. Martin - President and Chief Executive Officer: Short, I don’t… I think in one sense Barry, we wouldn’t want to categorize ourselves. Energy and Chemicals is a very robust business and we are certainly benefiting from that and if it all goes away we will have a big hole to dig out of. You still there? Okay.
Operator: It looks, he is off from the line. For the number one, your next question comes from the line of Alex Rygiel with FBR Capital Markets. Please proceed.
Alex Rygiel - Friedman, Billings, Ramsey Capital Markets: Thank you. Good morning, gentlemen. Craig, I have two questions. Two questions for you, Craig. First, can you comment on the perceived risk level of your backlog today, relative to maybe three years ago or five years ago? And then, can you also comment on the developments in the U. K. as it relates some of the nuclear clean up activity over there?
Craig L. Martin - President and Chief Executive Officer: Sure. I’ll start with the backlog itself and frankly I think that risk level in our backlog is low as it’s ever been. Is that fair, guys? Yes. Really, if anything, it’s gone down a little bit, because there’s probably a little bit less lump sum work in backlogs than there might have been five or ten years ago. But it’s pretty much the same, otherwise. Contract risk is down a little bit. As I think we've mentioned on this call we've worked on renegotiating agreements, these long-term agreements to get our contract risk down. I think we've made some improvements there. So, if I think about our risk portfolio today it might… it’s probably slightly better than it’s been in the past. With respect to the nuclear clean up in the U.K. the good news is there’s still a $150 billion of tier I level to be spent. Very little of it has been spent. The NDA is proceeding very slowly and I think they’re proceeding slowly partly to encourage more competition. Their issue seems to be that they have so much work and there are so few qualified firms that they’re trying to get more competition rather than less. We’ll see how that unfolds. So, things like the Magnox re-competes have been delayed a little bit. That’s probably good news for us in a number of ways, as we continue to participate pretty aggressively at the tier II, and tier III work and that money is still getting spent, and that helps us also increase our position and leverage for the bigger programs as they come. In terms of individual things, we didn’t compete for Satterfield [ph]. We’re expecting some sort of announcement in the next few months. AWE has not yet been competed and we're still very much interested in that opportunity and the Magnox re-competes and some of these other programs are yet to come up. So, we remain just as excited as we have been I think collectively on for the market. We're just disappointed it’s moving a little slower than we thought it would.
Alex Rygiel - Friedman, Billings, Ramsey Capital Markets: Perfect. Thank you very much.
Operator: Your next question comes from the line of Tahira Afzal with Keybanc Capital Markets. Please proceed.
Tahira Afzal - Keybanc Capital Markets: Hi, good morning gentlemen, and congratulations on a good quarter.
Craig L. Martin - President and Chief Executive Officer: Thank you.
Tahira Afzal - Keybanc Capital Markets: Just to start off, Craig, in terms of your new guidance range, could you indicate what has specifically helped you push this range up. Is it because your backlog is coming in stronger or the margins seem to have come in a little stronger than you assumed and hence probably have a longer deal than you anticipated?
Craig L. Martin - President and Chief Executive Officer: I think, Tahira, it’s a combination of the things you mentioned. Backlog is strong and continues to be strong. We feel pretty good about backlog what’s going. Our sales team is doing very well, and we are doing quite well in terms of sales compared to our plans. And obviously the strength in the margins is, is a positive as well. So all of those things contributed to why we’ve upped the guidance.
Tahira Afzal - Keybanc Capital Markets: And then if you move between the guidance range, what would be the key drivers that we should be looking out for, that would push it up towards the top of that range?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, we don’t typically give guidance within the guidance, so I’m not going to comment a lot on that. But, clearly, if we continue to see strength as we go into the next three quarters, that will help move it towards the top of the range. If the economy does weaken and we start seeing that impact in any of our markets, that could be the things that would tend to maybe have it trail off a little bit. So, kind of in a macro sense that is a two kind of extremes.
Tahira Afzal - Keybanc Capital Markets: Okay. That’s fair enough, thanks. And then just one last question. You mentioned earlier on that in terms of Canada and the Oil Sands, sponsors are talking about $60 oil being kind of the point, cross of a point for them. I know that earlier on we talked about maybe $45 to $50 as being the breakeven point. Would this be like a $10 cushion, in essence, people are building in or have the costs risen to push up the bar to around $60 oil?
Craig L. Martin - President and Chief Executive Officer: Well, I think a couple of things are affecting why it’s $60 a day and not $45. One, the strength of the Canadian dollar is a factor. And you find out [ph], all the people who told me about this $60 boundary or $60 price point, were talking about somebody else’s projects, not theirs.
Tahira Afzal - Keybanc Capital Markets: Fair enough.
Craig L. Martin - President and Chief Executive Officer: And so I think in fact there is a general belief that almost… virtually everything is getting done, makes sense at $60 and above, but there are a number of people whose projects probably make sense at lower numbers. And I do think there are probably a little bit of cushion because of the royalty issues and because of the strength of the Canada dollar that is being built in these days. It wasn’t there six months or a year ago.
Tahira Afzal - Keybanc Capital Markets: Okay, fair enough. That’s all I had. Thank you very much.
Craig L. Martin - President and Chief Executive Officer: Thanks, Tahira.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Thank you.
Operator: Your next question comes from the line of Avram Fisher with BMO Capital Markets. Please proceed.
Avram Fisher - BMO Capital Markets: Hi, good morning, thanks for taking the question.
Craig L. Martin - President and Chief Executive Officer: Good morning.
Avram Fisher - BMO Capital Markets: Your TPS burn [ph] rates appear to be trending upwards even though backlog is growing and revenues are growing. Can you give a little color on, are these projects getting shorter in nature, are you getting any more productivity out of your workers in that market?
Craig L. Martin - President and Chief Executive Officer: I am not sure I understand the question exactly. When you say the TPS burn rate, you’re talking about is the volume per quarter in terms of professional services compared to prior quarters?
Avram Fisher - BMO Capital Markets: That’s the revenue divided by prior quarter backlog. It is like 21.4% this quarter and trending up. It’s how much revenue you are burning off of prior period backlogs?
Craig L. Martin - President and Chief Executive Officer: Okay. I haven’t really thought about it. So I am not sure I can give you a good answer right now.
Avram Fisher - BMO Capital Markets: Okay.
Craig L. Martin - President and Chief Executive Officer: Let me defer and answer that question till I have a chance to look at the numbers a little bit to make sure I understand the implication of the question.
Avram Fisher - BMO Capital Markets: Okay. I can circle back with you a little later on, if that’s all right.
Craig L. Martin - President and Chief Executive Officer: Yes, if you could just give us a call and talk to John, we will… let me just look at the numbers. I don’t want to speak here without having and understanding what I am speaking about.
Avram Fisher - BMO Capital Markets: For sure. No problem. I have another quick question now.
Craig L. Martin - President and Chief Executive Officer: Sure.
Avram Fisher - BMO Capital Markets: You have talked about the strength of this market, you have been able, not necessarily to get pricing because that’s not your model but getting better terms. And I wonder if the so-called pendulum sort of swings, if there is weakness in other end markets, how will those terms may change and more specifically, if there any issues with payments from owners or to drill down, if we can get any color on receivables and DSOs?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: Well, our DSOs are remaining fairly steady. So, I don’t think there’s any real big swing there. They don’t change in a day or two, from quarter to quarter just because of when the quarter ends. And of course, first quarter you got the holidays and get involved when people shut down their operations, so sometimes first quarter tends to extend a little bit just because people take all their vacations, not just here in the US, but all around the world, it seems like there is an awful lot of vacations that goes on in the latter part of December. And so some of the collections go on. But I don’t see that as, there is really no significant changes in our business. If you look at the… and receivables are a biggest part of our balance sheet, but they grow and are pretty much in line with just the business growth.
Avram Fisher - BMO Capital Markets: Okay. Could you give us the receivables number or do I have to wait for the 10-Q?
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: The Q will be out probably early next week.
Avram Fisher - BMO Capital Markets: Okay. I appreciate the questions. Thank you.
Operator: Your next question comes from the line of David Yuschak with SMH Capital. Please proceed.
David Yuschak - SMH Capital: Hey, congratulations, gentlemen, on a great quarter. Just help us a little bit on, maybe go deeper into managing the cost of an inflation today, guys. Because, we have got a situation down here in Dallas where our mass transit authority got into a major expansion program, they had commented here just recently because of the cost inflation of projects that they are going to go ahead with one project but were going to have to defer on another expansion because of what happened in costs. And I am just kind of curious, as you work with your customer today trying to manage through some of that inflation in project investment cost, what are the things that’s on their mind as far as, as you said earlier, want to make this project work?
Craig L. Martin - President and Chief Executive Officer: Well I think the critical issues that they ask us to help them address in terms of forecasting the cost of these projects is really labor availability and material supply particularly engineered materials. So things like vessels, pipe, that sort of stuff, not so much of these days, steel or copper. And what we have done is develop what I would characterize as models based on what’s happening in the marketplace, based on current inquiry into what the local conditions are to help us forecast what those costs are going to be. And then obviously clever owners and clever contractors make sure they put in some allowances for escalation and some contingency. And generally then if the project pencils, it goes forward.
David Yuschak - SMH Capital: And just a follow up on to help them manage that cost, is it coming upon on E&C companies today to maybe look at some of these extra costs, as kind of pass through costs on booking that business, so that there may be some less EBITDA and just help us try to explain trying to capture that, knowing that your owner is a little bit concerned about that inflation in the projects.
Craig L. Martin - President and Chief Executive Officer: Well, for the most part all those costs are pass through. And so they have very little effect on the bottom line numbers, except to the extent that fees are a percentage of pass-through cost and sometimes that case. But the issue really tends to be one of predicting things accurately and getting the right amount of money authorized. Once the right amount of money is authorized, managing the process is just a matter of doing good business, good procurement, global sourcing, those kinds of things, to bring the project in under budget. Or on budget. And sadly, that isn’t always the case; sometimes projects can be over budget. But it isn’t, there is no particular trick to it from how it affects the numbers point of view.
David Yuschak - SMH Capital: Okay. Thanks a lot, then. Appreciate it.
Operator: Your next question comes from the line of John Rogers with D.A. Davidson. Please proceed.
John Rogers - D.A. Davidson & Co.: Hi, guys. Good morning. Most of the market stuff you’ve talked about. But I’m curious if you can comment just what you are seeing in terms of acquisition opportunities. I mean, with sort of the equity evaluations coming down, are you seeing more opportunities out there, what are you hearing from the private owners?
Craig L. Martin - President and Chief Executive Officer: It kind of depends a little bit on the market in terms of what kinds of behaviors you are seeing and how the owners are kind of looking at things. In places like infrastructure, we are still seeing a lot of activity, very robust. I think…
John Rogers - D.A. Davidson & Co.: You mean in terms of the owners who are thinking about selling or looking at it.
Craig L. Martin - President and Chief Executive Officer: Yes. Yes, thinking about selling. We are in a cycle in some of these businesses where it’s sort of that, what I’ll characterize as the middle sized players. These are folks in the revenue range of from $200 million in revenue to maybe just under $1 billion, are getting squeezed. They have retiring shareholders, they got shortages of money and there is a lot of energy right now going into… thinking about what the path forward looks like. And so, we are seeing a good, robust level of activity in terms of acquisitions that can be done, pricing… pricing is down probably a little bit from where it has been in recent memory, mostly as a result of private equity got to be as aggressive. But, it’s not like it’s… things have got suddenly very cheap. If you move into other markets like up stream oil and gas, everybody is seeing a really long tail on the business so, everybody is flying pretty high. There still are opportunities for acquisitions, but the pricing on those in some cases just isn’t sensible.
John Rogers - D.A. Davidson & Co.: Okay. Great. That helped. Thank you.
Operator: Your next question is a follow-up from the line of Andy Kaplowitz with Lehman Brothers. Please proceed.
Andrew Kaplowitz - Lehman Brothers: Good morning, again. Quick question, Craig on front end engineering design contracts. Are you still seeing the amount of prospects like you were last quarter in front end engineering design, especially in downstream industry oil and gas?
Craig L. Martin - President and Chief Executive Officer: Yes. Absolutely. The new prospects are… every bit as strong as they have been, anytime probably in the last 12 months.
Andrew Kaplowitz - Lehman Brothers: Great. And then a follow up to that is… you can notice when you look at some of the Middle East contracts that there is more Asian E and C competitors out there, just I guess given the strength of the overall cycle. Is that just because there is so much work to go around and we shouldn’t worry about contract terms, what these other guys coming into the market?
Craig L. Martin - President and Chief Executive Officer: Well, I don’t think there is much concern about contract terms. I certainly think that the volume of activities is attracting lots of people from lots of places. Interesting that what the… most of the Asian contractors seem to be most focused on is the actual execution of the work, in terms of doing the detailed design and construction in the country, and those contracts historically have been more onerous than the front end and project management contracts have been, probably continue to be more onerous relatively speaking. What we don’t see is much competition from those Asian companies, the Japanese, the Koreans for the front end and P&C work. That continues to be the province of the European and U.S. majors.
Andrew Kaplowitz - Lehman Brothers: That’s it. That’s helpful. Thank you.
Operator: [Operator Instructions]. Your next question is a follow-up from the line of Barry Bannister with Stifel Nicolaus. Please proceed.
Craig L. Martin - President and Chief Executive Officer: Hey Barry.
Barry Bannister - Stifel Nicolaus: Hello. Sorry we got cut off earlier. There was news recently of an equity offering by Jacobs I don’t remember hearing anything about it, I may have missed it. Did you say anything about the timing of that or is that still on?
Craig L. Martin - President and Chief Executive Officer: No we didn’t have an equity offering. What we did was we filed a shelf registration and it’s on the shelf and what we have found is that each one of these acquisitions we've done has involved a little bit of equity it just makes it much more expedient to have the shelf registration out there. It’s not as active offering or anything like that.
Barry Bannister - Stifel Nicolaus: Okay. So, it wasn’t an impulsive judgment about having a higher earnings yield on the acquired companies in 2007’s bolt-ons versus the cost of funds in terms of the equity yield of the stock offered.
Craig L. Martin - President and Chief Executive Officer: No. Barry, in fact, our reason for using stock is to try to get these own built, the key people in the business to have some ownership of the company coming in. Years ago we might have used options for that. Given the cost of options today, we prefer to put the stock and the purchase price… I think it actually reduces our cost for these deals a little bit and still makes owners out of the acquired company.
Barry Bannister - Stifel Nicolaus: And the targets have been a reason for taxes particularly ESOP for having equity right?
Craig L. Martin - President and Chief Executive Officer: For the most part the equity is really driven by us and it’s always a point of negotiation because in a lot of cases they would rather have all cash.
John W. Prosser, Jr. - Executive Vice President, Finance and Administration and Treasurer: And it tends to be a small percentage of the overall, so it’s not driving any tax incentive or tax deferrals.
Craig L. Martin - President and Chief Executive Officer: Yes. It’s a marge number of experiments on the purchase price.
Barry Bannister - Stifel Nicolaus: Okay. Thank you.
Operator: And at this time there are no further questions in queue. I will now turn the call over to Craig Martin for final remarks.
Craig L. Martin - President and Chief Executive Officer: Well, thank you all for joining us. We had a really good quarter. We're pretty excited about that. We look to have some good quarters out in front of us as well and we feel very good about the business as we sit here today and I hope we’ll continue to feel that way for several more quarters to come. Thank you everyone.
Operator: Thank you for your participation in today’s conference ladies and gentlemen. All parties may now disconnect. Have a great day.